Operator: Greetings, and welcome to the Limoneira Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded It is now my pleasure to introduce your host, John Mills with ICR. Thank you. You may begin.
John Mills: Great. Thank you. Good afternoon, everyone, and thank you for joining us for Limoneira's Fourth Quarter Fiscal Year 2021 Conference Call. On the call today are Harold Edwards, President and Chief Executive Officer; and Mark Palamountain, Chief Financial Officer. By now, everyone should have access to the fourth quarter fiscal year 2021 earnings release, which went out today at approximately 4:00 p.m. Eastern Time. If you have not had a chance to view the release, it's available on the Investor Relations portion of the Company's website at limoneira.com. This call is being webcast, and a replay will be available on Limoneira's website as well. Before we begin, we'd like to remind everyone that prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. Such statements involve a number of known and unknown risks and uncertainties, many of which are outside the Company's control and could cause its future results, performance or achievements to differ significantly from the results, performance or achievements expressed or implied by such forward-looking statements. Important factors that could cause or contribute to such differences include risk details in the Company's 10-Qs and 10-Ks filed with the SEC and those mentioned in the earnings release. Except as required by law, we undertake no obligation to update any forward-looking or other statements herein, whether as a result of new information, future events or otherwise. Please note that during today's call, we will be discussing non-GAAP financial measures, including results on an adjusted basis. We believe these adjusted financial measures can facilitate a more complete analysis and greater understanding of Limoneira's ongoing results of operations, particularly when comparing underlying results from period to period. We provided as much detail as possible on any items that are discussed on an adjusted basis. Also, within the Company's earnings release and in today's prepared remarks, we include adjusted EBITDA, which is a non-GAAP financial measure. A reconciliation of adjusted EBITDA to the most directly comparable GAAP financial measures is included in the Company's 10-K and press release, which have been posted to the website. And with that, it is my pleasure to turn the call over to the Company's President and CEO, Mr. Harold Edwards.
Mark Palamountain: Thanks, John, and good afternoon, everyone. I'm very proud of the way our team was able to successfully manage through a challenging year due to COVID-19 and its effects on logistics and channels of revenue. Even with these challenges, we achieved strong fresh lemon utilization in fiscal year 2021, and our brokered fruit business more than doubled in fiscal year 2021 compared to fiscal 2020, enabling us to improve revenue and EBITDA year-over-year. Our outside third-party grower returns were extremely competitive this past year as well, which should help us with additional outside grower recruiting in the upcoming year. We aren't back to our pre-COVID growth trajectory, but we are getting closer and believe the momentum in our business and expanding brokerage business will attract more third-party growers. During our seasonally slower fourth quarter of fiscal year 2021, revenue increased 12% compared to the same period last year. These results were driven by higher lemon prices and very strong brokered fruit revenue, which more than doubled compared to last year. Lemon pricing improved in the back half of fiscal year 2021, and we expect this trend to continue throughout fiscal year 2022. We achieved our solid top line results even as the widely publicized global logistical delays continue to affect the entire agricultural industry and reduce exports to Asia. Specifically, due to the shipping delays and spoilage occurring in the fourth quarter of fiscal year 2021, we expect to receive insurance compensation in the first quarter of calendar 2022. We are excited about how we are positioned for revenue and earnings growth in fiscal year 2022, and our real estate development project, Harvest at Limoneira, continues to perform very well, and I will provide an update on this project in a few moments. I'll now discuss each of our business divisions' performances for the fourth quarter, starting with agribusiness. For the fourth quarter of fiscal year 2021, total net revenue was $33.5 million compared to total net revenue of $29.8 million, and agribusiness revenue was $32.3 million compared to $28.6 million in the fourth quarter of last fiscal year. Agribusiness revenue for the fourth quarter of fiscal year 2021 includes $7.8 million in fresh lemon sales compared to $13.4 million of fresh lemon sales during the same period of fiscal year 2020. The reduced lemon revenue was due to decreased volume of fresh lemons primarily related to the timing of harvest and sales year-over-year, but also caused by logistical delays affecting our industry. Average price per carton increased to $20 per carton compared to $9.23 per carton during the fourth quarter of fiscal year 2020. The continuation of shipping delays and congested ports throughout the world caused a loss on a portion of our shipments, and the balance had to be placed in different channels. We expect to receive insurance compensation in the fourth quarter of calendar 2022 related to the fourth quarter fruit spoilage. Throughout fiscal year 2021, we made great strides in expanding our One World of Citrus initiative and improving our long-term growth opportunities. We continue to focus on expanding our retail sales opportunities as well as strengthening our foodservice relationships as many restaurants began to open again after COVID-19. We made a strategic decision to dramatically expand our brokered fruit business, which offset seasonally slower domestic volumes in the fourth quarter, providing supplemental fruit for our global customers. We generated $17.4 million of brokered fruit revenue in the fourth quarter of fiscal year 2021 compared to $8.1 million in the same period last year. Approximately 941,000 cartons of brokered fruit were sold during the fourth quarter of fiscal year 2021 at an average of $18.44 average price per carton compared to approximately 449,000 cartons sold at an $18.13 average price per carton during the fourth quarter of fiscal year 2020. Brokered fruit revenue is primarily comprised of packed fruit for resale where we are the principal in the transaction. Turning now to our real estate development division. Harvest at Limoneira continues to perform very well and has now closed 586 lots since inception, including 30 new lot closings in the fourth quarter of fiscal year 2021. We have now completely sold Phase 1 of this project and are now focused on the 554 lots for sale in Phase 2. We expect to begin receiving cash distributions this year from Harvest at Limoneira and fully expect to generate $80 million of cash distributions over the next five years. In addition, we believe there is upside to our stated cash distributions due to the potential increased number of sellable lots entitled in Harvest at Limoneira, increased values of remaining sellable lots in the project and the opportunity of the recently announced medical campus in our East Area 2 development. In July of 2021, we entered into a nonbinding letter of intent to sell approximately 25 acres of our East Area 2 property in five-stage purchases to an investment company for the purpose of constructing a medical campus consisting of medical office buildings and an acute care hospital. Completion of the transaction is subject to the execution of a purchase and sale agreement and resolution of certain contingencies. This potential transaction isn't included in our projected $80 million of cash proceeds, and we will provide an update on expected amounts of cash distributions later this year. Many of you have recently read about the recent rainfall throughout California and Arizona, which is reducing pressure felt by the existing statewide drought. The much-needed early season rainfall not only helps to replenish groundwater basins, but also has dramatically positive impacts on tree health and vitality as well as fruit sizing. The past few years have been challenging for our industry. We have taken this period of time to become closer with our customers and enhancing our operations through technical improvements such as implementing a real-time digital information system we call Farm to Table via Tablet initiative. This is increasing efficiency across our supply chain by monitoring daily tree health and fruit growth predicting right time to harvest fruit, identifying labor and distribution needs and matching harvests, fruit grades and sizes to global demand. This creates greater yields and quality improves efficiency within harvest and packing teams, and sales teams can improve fresh utilization. We also continue to build upon our 129 years of stewardship of both our natural and human resources, by employing sustainable practices in all aspects of operation. With over 15,400 acres of rich agricultural land and water assets throughout California, Arizona, Chile and Argentina, we are well positioned for long-term growth through our One World of Citrus mantra of meeting our customers' year-round global demand for citrus. And with that, I'll now turn the call over to Mark.
Mark Palamountain: Thank you, Harold, and good afternoon, everyone. As a reminder, due to the seasonal nature of our business, it is best to view our business on an annual, not quarterly basis. Historically, our first and fourth quarters are the seasonally softer quarters, while our second and third quarters are stronger. For the fourth quarter of fiscal year 2021, total net revenue was $33.5 million compared to total net revenue of $29.8 million in the fourth quarter of the previous fiscal year. Agribusiness revenue was $32.3 million compared to $28.6 million in the fourth quarter last year. The increase in revenue was primarily driven by a 115% year-over-year increase in brokered fruit sales in the fourth quarter of fiscal year 2021. Other operations revenue was relatively flat to the prior year at $1.2 million in the fourth quarter of fiscal year 2021. Agribusiness revenue for the fourth quarter of fiscal year 2021 includes $7.8 million in fresh lemon sales compared to $13.4 million during the same period of fiscal year 2020. Approximately 390,000 cartons of fresh lemons were sold during the fourth quarter of fiscal year 2021 at a $20 average price per carton compared to approximately 596,000 cartons sold at a $19.3 average price per carton during the fourth quarter of fiscal year 2020. The decreased volume of fresh lemons partially relates to harvesting and logistical delays affecting our industry. We originally expected delayed shipments of many agricultural products, including lemons to move from the third quarter into the fourth quarter of fiscal year 2021. However, the continuation of shipping delays and congested ports throughout the world caused a portion of these shipments to spoil and the balance had to be reworked. To quantify, we had more than 10 ships on the water carrying approximately 70,000 cartons of fruit from Chile and Argentina that went from a delay of 22 days to 65 days. We expect to receive insurance compensation in the first calendar quarter of 2022 for the fourth quarter of fiscal 2021 spoiled fruit. The Company recognized $17.4 million of brokered fruit sales in the fourth quarter of fiscal year 2021 compared to $8.1 million in the same period last year. Approximately 941,000 cartons of brokered fruit were sold during the fourth quarter of fiscal year 2021 at an $18.44 average price per carton compared to approximately 449,000 cartons sold at an $18.13 average price per carton during the fourth quarter of fiscal year 2020. As Harold mentioned, we have focused more on broker fruit sales to offset the soft seasonality, and we'll continue to expand that business in fiscal year 2022. The Company recognized nominal avocado revenue in the fourth quarter of fiscal year 2021 compared to $482,000 in the same period last fiscal year. Approximately 3,000 pounds of avocados were sold during the fourth quarter of fiscal year 2021 at a $1.36 average price per pound compared to approximately 487,000 pounds sold at a $0.99 average price per pound during the fourth quarter of fiscal year 2020. The reduction in avocado revenue compared to the prior year is due to the highly publicized lack of rainfall throughout California and the West Coast, which reduced the overall size of the actual avocado fruit pieces and caused the majority of the fruit to be harvested in the third quarter of fiscal year 2021. The increase in average price per pound was due to lower supply of fruit in the marketplace. The Company recognized nominal orange revenue in the fourth quarter of fiscal year 2021 compared to $551,000 in the same period of fiscal year 2020, primarily attributable to pricing adjustments in the fourth quarter of fiscal 2021 related to oranges delivered to third-party packing houses. Specialty citrus and other crop revenues increased to $3.2 million in the fourth quarter of fiscal year 2021 compared to $2 million in the fourth quarter of fiscal year 2020. The increase was primarily due to higher volume of wine grapes sold in the fourth quarter of fiscal year 2021. Total costs and expenses for the fourth quarter of fiscal year 2021 were $40 million compared to $39.3 million in the fourth quarter of last year. Operating loss for the fourth quarter of fiscal year 2021 decreased to $6.5 million compared to a loss of $9.5 million in the fourth quarter of the previous fiscal year. Net loss applicable to common stock after preferred dividends for the fourth quarter of fiscal year 2021 was $5 million compared to a net loss of $7.6 million in the fourth quarter of fiscal year 2020. Net loss per diluted share for the fourth quarter of fiscal year 2021 was $0.28 compared to a net loss per diluted share of $0.43 for the same period of fiscal year 2020. Approximately $700,000 or $0.03 per share of the loss was due to fruit spoilage relating to shipping issues. We expect to receive insurance reimbursement in the first quarter of 2022 related to this spoilage. Adjusted net loss applicable to common stock for the fourth quarter of fiscal year 2021 was $4.9 million compared to a loss of $7.6 million the same period of fiscal year 2020, which excludes the loss on stock in Calavo. Adjusted net loss per diluted share was $0.28 compared to adjusted net loss per diluted share of $0.43 for the fourth quarter of fiscal year 2020. A reconciliation of adjusted net loss to net loss is provided at the end of our earnings release. Adjusted EBITDA was a loss of $3.5 million in the fourth quarter of fiscal year 2021 compared to a loss of $7.2 million in the same period of fiscal year 2020. The A reconciliation of adjusted EBITDA to net loss is also provided at the end of our earnings release. For the fiscal year ended October 31, 2021, revenue was $166 million compared to $164.6 million in the same period last year. Operating loss for the fiscal year 2021 was $6.3 million compared to a loss of $19 million in the same period last year. Net loss applicable to common stock after preferred dividends was $3.9 million for the fiscal year 2021 compared to a net loss of $16.9 million for the fiscal year 2020. Net loss per diluted share for the fiscal year 2021 was $0.23 compared to a net loss per diluted share of $0.96 in fiscal year 2020. For the fiscal year 2021 adjusted net loss applicable to common stock was $3.9 million compared to a net loss of $12 million for the fiscal year 2020. Adjusted net loss per diluted share was $0.23 compared to adjusted net loss per diluted share of $0.68 and for the fiscal year 2020 based on approximately $17.6 million and $17.7 million, respectively, weighted average diluted common shares outstanding. We recorded for fiscal years 2021 and 2020, an income tax benefit of $300,000 and $8.5 million on a pretax loss of $4.2 million and $26.4 million, respectively. The tax provision recorded for the fiscal year 2021 differs from the U.S. federal statutory tax rate of 21% due primarily to foreign jurisdictions, which are taxed at different rates, state taxes, non-deductible tax items and valuation allowances on certain deferred tax assets of foreign subsidiaries. The effective tax rate in fiscal year 2021 was 6.4% compared to an effective rate of 32.2% in the prior fiscal year. The lower tax rate is mainly due to valuation allowances on deferred tax assets in Chile and Argentina. Turning now to our balance sheet and liquidity. Long-term debt as of October 31, 2021, was $130.4 million compared to $122.6 million at the end of fiscal year 2020. Now I would like to turn the call back to Harold to discuss our fiscal year 2022 outlook and longer-term growth pipeline.
Harold Edwards: Thank you, Mark. As we all know, the COVID-19 pandemic continues to affect all foodservice businesses and industry logistics on a global basis. Even with this continued pandemic, we believe we will experience improving results in fiscal year 2022 compared to fiscal 2021 due to our stronger position in grocery and growing brokerage business. As food service and export markets recover, we also expect lemon prices to increase in fiscal year 2022 compared to fiscal year 2021. Specifically, we expect total lemon sales volumes to be in the range of 4.5 million cartons to 5 million cartons for fiscal year 2022, and avocado volumes are expected to be in the range of 5 million pounds to 6 million pounds for fiscal year 2022. We also expect to expand orange volume in fiscal year 2022 by marketing another producer's oranges through our One World of Citrus program. We have a growing list of customers that enjoy our ability to provide all of their citrus needs for one single supplier. And by increasing our oranges, we will be able to attract even more customers. In addition, we expect to receive $80 million from Harvest at Limoneira during the next five fiscal years beginning in fiscal year 2022. We believe the breakdown will be as follows: fiscal year 2022 is expected to generate $3 million of cash to Limoneira. Fiscal year 2023 is expected to generate $15 million. Fiscal 2024 is expected to generate $27 million. Fiscal 2025 is expected to generate $25 million and fiscal year 2026 is expected to generate $10 million. These expectations from Harvest do not include the potential upside from increased values of remaining sellable lots increased number of residential lots we may be entitled to sell at Harvest as well as the potential opportunity of a medical campus in our East Area 2 development. We expect to be in a position to provide greater transparency on these opportunities later this year. Lastly, to support our expected continued growth, we have an additional 1,000 acres of nonbearing lemons estimated to become full bearing over the next four years, which will enable us to achieve strong organic growth for many years to come. We expect 200 of the 1,000 acres to become full bearing in fiscal year 2022. Beyond these 1,000 acres, we anticipate this additional acreage will increase our domestic supply of Limoneira-owned lemons from our 2021 level by approximately 50% or by about 900,000 to 1.3 million additional fresh cartons as the non-bearing and planned acreage becomes productive. And with that, I'd like to open the call up to your questions. Operator?
Operator: [Operator Instructions] Our first question is from Ben Bienvenu with Stephens. Please proceed with your question.
Ben Bienvenu: So I want to start asking about the brokerage business. So interesting to see the growth in that business, it sounds like an interesting growth opportunity to augment the existing growth that you guys have as the bearing acreage rolls on. Can you talk about the scalability of that opportunity? What are the constraining factors to growing that? And what should we be thinking about in terms of cutting our expectations around how big that business can get for you guys?
Harold Edwards: Happy to. So the real opportunity that we've been presented with that business was created by us creating the global supply chain model, where we have a little bit of our own production, we have packing assets that are representing outside growers' fruit. And now we have customers that have become comfortable with our year-round supply capability at both retail and foodservice. And so once that capability was built, it allowed us the opportunity now to begin to represent third-party shippers and their citrus. And typically, these are commission-based sales opportunities. Our commission rates range from anywhere from 6% to 12%. I think right now, our average commission rate is 8%. And in terms of the scalability, we feel this is a very, very scalable opportunity for us and attracting high-quality third-party shippers into our One World of Citrus network, we think it's just a matter of finding the right production areas around the world. So at this point, we're sourcing fruit in Mexico, in Chile, in Argentina and in Peru. And we see great opportunities to augment or supplement that with additional brokerage opportunities out of South Africa and eventually out of Spain. And in terms of the total volume that we can expect, we can probably anticipate growing that part of our business realistically at, call it, 20% annually. But with great opportunities to scale that and grow that at different times of the year, when mother nature doesn't give us the tree crops that we need to keep our supply chain up to speed. Now granted, it's lower margin business than our vertically integrated production, packing, marketing and selling business. But it doesn't cost us anything to get these deals other than the time to meet the shippers and vet their quality. So we think it's a very scalable opportunity for us and one that will really allow us to plug the holes as Mark was saying earlier in his comments, in our seasonally soft quarters, in our first quarter and our second quarter, and our goal will be to keep our supply chains growing consistently throughout the year where we're selling an equal amount of fruit in the off season by sourcing these agency or brokerage deals.
Mark Palamountain: I just might add the opportunity, one, obviously, that what Harold alluded to, that there's no capital involved and really it's just human capital. So the cost to get these, call them, 8% to 10% average across-the-board deals is very minimal. And it also allows us to begin to think about these value-add services we could provide to these growers in other countries, whether it's logistics, additional bagging through our DCs and whatnot. So it really opens up a whole new tranche for us.
Ben Bienvenu: Okay. That's great. Super interesting. I want to ask about the spoilage and the logistics delays at the ports. Can you talk about where we are today in terms of getting back to normal? And then if you have any sense yet, do you -- can you talk about what you think the insurance proceeds might look like in the first quarter of next year?
Harold Edwards: Happy to, Ben. So I'll dig into the -- where we are today and then Mark can talk about expectations from insurance. So the good news for us in terms of our -- where we are in the seasonality of our fruit is we're not importing any fruit from the southern hemisphere right now. All of our production today is coming out of the desert and then out of the San Joaquin Valley in California. And so we're not experiencing any negative impacts on our supply chains or our shipments because everything is being sourced domestically. As it relates to our exports, we're still seeing soft demand from our Asian partners, and the Asian markets are still suffering from the impacts of the pandemic. So good news, bad news. The good news is that our business is not being severely impacted because of the logistical delays. Bad news is markets are still suffering from COVID and the pandemic and softer foodservice demand in those markets. We do expect that by the time those markets become healthy and open up that the supply chain issues will be well down the road to being resolved. But we can tell you that as we drive down into Los Angeles in that area and you look out in the harbor, there's still a lot of ships that are floating out there. So we know they're not through their challenges. But we are reading about improvements and things getting better. The real issue for us, Ben, will come in the mid- to late summer when we go back to a model of our supply chains being dependent on that southern hemisphere fruit. And we'll be very cautious about bringing fruit into the West Coast ports and probably err on the side of bringing more deliveries to the East Coast markets and using trucking to bring it West to avoid the congestion.
Mark Palamountain: Yes. And Ben, so from the insurance side, it's all a little complicated. One, there's multiple carriers involved and when you're talking about 70,000 cartons. But we had some legal opinions done from our attorneys down in looking at all the contracts. And we think sort of at the minimum level is about $300,000. I mean that's specifically related to just reimbursement of transportation costs and then all the way up to about $1.3 million potential. My gut is, it will hopefully fall somewhere in the middle. But right now, we're just not trying to put a specific figure on it. But again, the attorneys thought we had within the contracts, some leverage there. So we'll work that and we should see that in the next three months.
Ben Bienvenu: Yes. Okay. Great. Last question for me is, Harold, you talked about the rain. Can you tell yet what that might mean for your trees? And how much more rain do we need to start to get back to normal, I know, we're a long way from normal? So give us a sense of the impact of what that could mean to your business?
Harold Edwards: Yes. So it actually is a very, very positive thing. Just maybe to start with the negative side. So what it did is it meant that in December, we weren't able to get into pick for 12 days and so, call it, two weeks. And so what that's done is that's pushing our expected results out by two weeks. So I think from a pragmatic perspective, it's going to mean that we're going to be -- have a softer first quarter than we thought, but a stronger second quarter than we thought. So just to the extent that you can move some of those forecasts around, I think that's probably something that we ought to think about. And then as it relates to the overall situation of the ongoing drought in California, having this much rain this early went a long way to replenishing empty aqueducts and groundwater basins and you're seeing. Now, we're not back to what we would call healthy as it relates to the large storage facilities that exist throughout the state of California. But the other aspect of the rains that maybe isn't getting as much attention but is a godsend for all of us is the amount of snow that has taken -- that we received in the Sierra Nevada mountains. And that is what provides most of the San Joaquin Valley water rights, which are repairing rights through the rivers and the streams that flow from the snow melts as that takes place in the late spring and the early summer. And that's going to go a long way to really filling up our agricultural canals and giving us access to additional water that about six months ago, we were in a very dire situation. So the bottom line is it's been a wonderful series of storms and rains. We're hopeful that we're not through with them for the season. I think we still have several months where we can expect more rain. But certainly, we're off to a great start, and it's just making the entire agricultural community in California, pretty happy.
Mark Palamountain: And Ben, just to put...
Ben Bienvenu: Yes. Go ahead, Mark.
Mark Palamountain: Just from the harvest delays perspective, typically, this time of year, if we can't get in the field, we're harvesting about 100,000 to 125,000 cartons a week. So do the math on 12 weeks -- or 12 days, excuse me. And it probably pushes about 200,000 cartons from Q1 into Q2, not lost, but just moved.
Ben Bienvenu: Okay. Very helpful. And good luck with this next fiscal year.
Operator: Our next question is from Gerry Sweeney with Roth Capital Partners. Please proceed with your question.
Gerard Sweeney: Logistics and brokerage were at top of my mind. But since we covered it, I did want to talk a little bit more -- maybe give a little bit more detail on the opportunity on the grocery side. It's obviously been an area of focus for the past year as COVID has impacted the food service side. But how much of an opportunity is there longer term? And does that cover the same -- carry the same type of margins and economics?
Harold Edwards: So, exactly the same economics and margins as food service and the exciting part of that channel for us, there's two exciting parts to it. One, we're growing in that channel just through gaining market share. And so we believe it's sustainable. But the other really exciting part of it is a very high percentage of that business has additional value-added benefits to us where we're able to drive more margin and more value-added benefit through bagging. And I guess the final benefit of that, which is very exciting, is that it gives us a lot more flexibility with the size and the grades that we're able to serve our retail customers with. And why that's super important and exciting for us is that customers are pretty open to size and grades in the bag format, and that gives us the opportunity to really be able to focus on the areas of the sizes and grades where we have buildup of inventory. So it really helps us with our utilization and selling more lemons fresh, but we're also able to capture a little bit more value added through the bagging service there. We think it's a super exciting part of our business. And as we continue to grow with our total volume growth, I think thinking in terms of 50% retail and 50% food service is very achievable. And that has very strong implications for our ability to generate more value-added benefit for our P&L as we grow.
Gerard Sweeney: Got it. And then let me see what else you're -- I had something else I want to ask about, but I think it has actually slipped in my mind. On the logistics side, I know you're targeting maybe bringing some fruit to the East Coast. How much of a cost differential impact would that have if you brought it through the East Coast and then shipped it from there via trucking?
Harold Edwards: So it adds another -- Mark, do you have a figure that you would use for that per carton?
Mark Palamountain: It's about $4 to $5 depending on what the seasonality where we are, typically. But we saw obviously, incredible trucking rates, which are still somewhat difficult and then the mired port situation. So we're trying to figure out what the best is with that. But if you use a $4 or $5 additional, it's probably as good as any for the moment.
Harold Edwards: And Gerry, a lot of that gets passed through to the customer and not that we want to do that. But if a customer is sort of facing that cost increase or not being able to get a delivery, he usually opts for the cost increase.
Gerard Sweeney: Got it. One question I did want to ask it to actually slip my mind. I apologize for it. Have you gotten -- how is foodservice looking today? We're kind of going through ups and downs and Omicron took off a little bit. But how was it looking in the sort of October, November, early December time frame? And then let's not worry about the dollar interest a couple of weeks ago to be quite honest with you.
Harold Edwards: Yes, there was a euphoric response to restaurants reopening and people being able to go out to congregate and eat in restaurants again. So we actually saw a spike up in demand that's falling off a little bit. But by and large, we're very strong restaurants are open, people are eating out. And so demand at food service is robust again. The primary area of difficulty, as I was mentioning earlier, is still in the export markets. And why that really matters to us is, so that's primarily our fancy fruit, but we can capture up to a $5 premium on those sales. So by not having -- we're very fortunate, Mother Nature gave us a higher percentage of fancy fruit this year versus last. But because we're not able to slip that into that, those premium export markets we're not seeing at least at this point as big a lift in the overall aggregate pricing as we'd hoped. And that's all just because the Asian demand remains soft.
Operator: Our next question is from Ben Klieve with Lake Street Capital Markets. Please proceed with your question.
Ben Klieve: First, a follow-up question on the brokered fruit business. Mark, you talked about the fourth quarter numbers and the year-over-year improvement, I see some of those reflected in the 8-K as well. I don't know if you said what that business was on a full year basis. If you did, I apologize, but could you give us that information for fiscal '21 and growth over fiscal '20?
Mark Palamountain: Yes. We didn't mention that. But right now, it's about a $25 million business, up significantly over 100% year-over-year. And as Harold alluded to, I think conservatively, we're targeting 20% growth from there. But as we've talked about in our investor decks in the past is, our ultimate intentions over the next five to seven years is to take the business to 30 million cartons of citrus, which were 10 million today. So early, that has a lot of implications to the brokerage side. So it's going to be a focus for us in this sort of asset-light world, and we'll continue to do that and have those value-added services.
Harold Edwards: And Ben, I think it generated $2.3 million of operating profit for us.
Ben Klieve: Perfect. And sorry, Harold, was that $2.3 million in the fourth quarter or is that full year?
Mark Palamountain: No, that was the full year.
Mark Palamountain: Full year.
Ben Klieve: Okay. Perfect. Very interesting. Looking forward to more information on that here in quarters to come. Another question, Harold, you touched on the rain. You said that -- you commented that there was 12 days that you guys couldn't harvest. A few years ago, when there was dramatically more rain for a longer period of time, that kind of skewed the sizing for you for basically all domestic production. Was there enough in this year that there is really any kind of material impact in kind of size and grade? Or was that not enough rain or not long enough for him to do that?
Harold Edwards: No, that's a great question. I appreciate it because I was going to try to weave a comment in there about it. So that rain and series of rain events kept us from harvesting for eight weeks. So this was two weeks. And so we don't anticipate the buildup of sizing. We see good movement on the fruit as it exists today. So I don't think it will have any disruptive or negative impact on our supply chain. I think it was, by and large, a perfect rain with perfect results at this point. And the one thing to maybe mention is that avocados should receive a huge benefit from this rain. Natural rainfall accelerates the growth and the size of avocados. And we sell to our customers by the piece, but we're paid or compensated for our production by the pounds. So the same number of pieces, if you can get an increase in size and the average size, it can improve the amount of pounded you have by 20% to 30%. So it can be material. So we think we're in a really great spot with the avocados. It's too early to say that that's happened or happening. But we'll keep you posted because our avocados, first of all, they hate the wind and they love the rain. And we've had fewer wind events this year versus last, and we've had more rain events, so off to a good start for 2022 with the avocados.
Gerard Sweeney: Got it. Got it. Helpful. One last one for me regarding carton pricing. On the third quarter call, in mid -- what was that mid-September kind of commented that there was -- the pricing at that point was in the kind of low 20s, 22%, 23-ish range. On the full quarter, it ends up at 20%. Can you talk to me about kind of how pricing evolved throughout the quarter? And what, if any, what, if anything, in the back half of the quarter led to kind of a lower price than was commented on in mid-September?
Harold Edwards: Sure. So the two drivers of your price are going to be your product mix. So the difference between -- in your sales between what your anticipated percentage of fancy your percentage of choice and your percentage of standards. So we had a lower percentage of fancy fruit than we anticipated. So that was the one piece, so more choice, more standard as a product mix in total, which brought the average price of those grades down. And then the other impact was a buildup in the industry of more choice fruit that put more pressure based on the choice grade. And the impact was an oversupplied situation, which was dealt with by some of our competitors with price, and that dragged the whole market down.
Mark Palamountain: And I'll just add. So it's specifically really related to the desert [indiscernible] just as windy out there, we had all that choice fruit. But as Harold mentioned, our expected percentage of fancy will be higher in 2022 than 2021.
Operator: [Operator Instructions] Our next question is from Eric Larson with Seaport Research Partners. Please proceed with your question.
Eric Larson: So my question is, and I may have missed this. Your utilization, fresh lemon utilization went up pretty sharply for the entire year, which is generally -- which is normally very beneficial did you give -- did you -- and I may have missed this, did you give the full year fresh utilization rate? And how does that improve going forward? How do you look at it? And what should we be modeling?
Harold Edwards: Yes. So great question. Thank you for that. So 2021 was the year of dramatic recovery in fresh utilization which was a function of several things. One, certainly, the recovery of food service, which created more market demand, but then the second thing was our team just did a great job in coordinating and forecasting what our production and our affiliated growers production was going to be anticipate when it would be harvested and what it would be at the time of harvest. And then we're out in front of that with our customers, setting up programs to be able to move the fruit once it was harvested and made available. And we did not provide the full year utilization rate, but it came in at about 78% for the year, which compares to, I think, 50% was where we wound up the prior year. As you build your models and you think on a go-forward basis, we believe that we've made the appropriate investments into technology, information systems. And we've just, at the end of the story, have a great team that really do a great job out there in the teamwork that's required to keep good high utilization. But I would expect to be anywhere from the 75% to the 80% fresh utilization across all the districts and throughout California and Arizona.
Eric Larson: Okay. Great. That's great. I know that it's kind of once you get north of 70% is one that starts having a pretty positive impact on your P&L. So is it possible to get something north of, let's say, that 75% to 80% range? Or would that be more of a normalized -- should that -- should we think of that as a normalized range?
Harold Edwards: Yes. So great question, different answers for different districts. So when you grow in areas that have extreme climate like Arizona, where it gets really hot, then seeing maximum utilization at 75% is probably the most we could probably expect. But when you get up into the San Joaquin Valley, where there's very little wind and it's really just a perfect place to grow lemons, you have utilization opportunities potentially 90% there. And then as it comes to the California coast, it's all how much wind we get. And so if we get a lot of east winds, which we have not had knock wood this year, then I think expectation of mid- to low 70% fresh utilization, but if you can avoid the big wind events possible to get up to 80%. When you put the whole thing together, I think the most we've ever seen is probably average across all districts is like low 80%. That's probably the best we could hope for.
Mark Palamountain: And one other thing just to add there, Eric, is the fresh lemonade concept, which we're still developing, and we've had that great customer raising cans. Adding one or two more players like that to suck up that otherwise fruit that would have gone to juice for $2 and selling those as standards is an opportunity as well.
Eric Larson: Okay. Yes, I follow up on that.
Harold Edwards: And one other comment just because I don't think we incorporated this into our -- all of our comments. But all of the tree crops across each of the districts, the Desert District Tree, the Valley District One and here on the Coast District 2, the tree crops in all of the regions are up this year, meaning there's more lemons that if we can get these higher utilization, it means we'll have a great opportunity to get up to that 5 million carton high end of the range of sales this year. So we've got everybody focused in on that, and the rain at this point should help that, too. So that's our internal goal this year.
Eric Larson: Okay. And just one other quick follow-up question here. You talked about the 1,000 acres that's coming on over the next four years, you're saying that about 200 of those acres come this year. Will this be the first year for harvesting? And I think it takes, what, maybe two to three years to really kind of get to kind of running full tilt in production with a new with new acreage. Could you help a little with that, Harold?
Harold Edwards: Yes. So the sound bite is when you plant a tree, it takes three years before you get the beginning of production and it takes seven years to get to full bearing production. So of the 1,000 acres, you're seeing 200 of those at year four. So you're starting to get production. Now it's less than when it gets to year seven. But that's really the rule of thumb is you get your first fruit in year three, and that tree is at full-bearing status when it's year seven.
Operator: We have reached the end of the question-and-answer session, and I will now turn the call over to Harold Edwards for closing remarks.
Harold Edwards: Thank you for all your questions and your interest in Limoneira. Have a great day. Thank you, everybody.
Operator: This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.